Operator: Ladies and gentlemen, thank you for standing by. Welcome and thank you for joining the SAP Q3 2023 Earnings Conference Call. Throughout today's recorded presentation, all participants will be in the listen-only mode. The presentation will be followed by a question-and-answer session. [Operator Instructions] I would now like to turn the conference over to Anthony Coletta, Chief Investor Relations Officer. Please go ahead.
Anthony Coletta: Good evening, everyone, and thank you for joining us to discuss our third quarter results for 2023. With me on this call are CEO, Christian Klein; CFO, Dominik Asam; and Scott Russell, who leads Customer Success. You can find the deck supplementing this call, as well as our quarterly statement on our Investor Relations website. During this call, we'll make forward-looking statements which are predictions, projections, or other statements about future events. These statements are based on current expectations and assumptions that are subject to risks and uncertainties that could cause actual results and outcomes to materially differ. Additional information regarding these risks and uncertainties may be found in our filings with the Securities and Exchange Commission, including but not limited to the Risk Factors section of SAP's Annual Report on Form 20-F for 2022. Unless otherwise stated, all numbers on this call are non-IFRS and growth rates and percentage point changes are non-IFRS year-over-year at constant currencies. The non-IFRS financial measures we provide should not be considered as a substitute for or superior to the measures of financial performance prepared in accordance with IFRS. Before turning over the call over to Christian, I would like to take a moment to recognize a significant milestone for SAP. This quarter marked the 25-year anniversary of its listing on the New York Stock Exchange. Reflecting on this journey, SAP began with a primary listing in Frankfurt 35 years ago to now be standing as the number one company on the DAX. This dual listing is a testament to an amazing growth story. It signifies our dedication to providing our investors with prime access across the major capital markets. As we celebrate this milestone, note that the focus on sustainable growth remains unwavering and that the company is poised to keep innovating and creating shareholder value. And with that, I'd like to turn the call over to Christian.
Christian Klein: Yeah. Thank you, Anthony, and thanks, everyone, for joining us for our Q3 earnings call today. First of all, I want to express my shock and sadness at the heartbreaking events that have unfolded over the last few weeks. SAP condemns in the strongest possible terms all acts of terror, and we are deeply concerned by the escalating conflict. We offer our deepest sympathies to all those impacted and are committed to supporting our colleagues, customers and partners during this most difficult time. I'm sure I speak for everyone here at SAP when I say that we hope for a swift resolution to this tragic situation. Let me now turn to more positive news and SAP's earnings. Our results clearly reflect the strong foundation we've built over the last three years for the next phase of SAP's transformation. In Q3, we once again achieved strong cloud growth and double-digit operating profit growth, up 16% for Q3 and 19% for the first nine months, confirming what we have said all along. 2023 is the year of double-digit profit growth, and underlining the fact that we have reached the second phase of our transformation, the phase of acceleration. The numbers tell the story best. Current cloud backlog is up 25% again, driven by strong order entry across the portfolio and backed by significantly lower churn. Cloud revenue growth is 23%. Within that, SaaS and PaaS is up 26%. The foundation of SAP's success story is the business technology platform which underpins both our RISE and GROW offerings. BTP is also the foundation for SAP's business AI to ensure high-quality data and data privacy standards. Over 22,000 BTP live customers contribute to almost 50% cloud revenue growth in our PaaS business. This business has a run rate of well over EUR2 billion. We achieved the overall cloud gross despite pressure on transactional revenue which was flat year-over-year to due to the macroeconomic situation. Our total order entry combining on-premise and cloud grew at the fastest rate in almost two years. Behind the strong numbers are many new and existing customers who turned to us to future-proof their businesses. In the third quarter with our key customer wins like Adobe and [ALDI SOUTH] (ph) across our solution portfolio. We also saw a number of important go-lives including BMW Group, Ducati, and SCOTT Sports. This quarter, we have once again seen significant momentum in our RISE customer number, reaching well over 4,300 RISE customers. Key customer wins include Puma, Siemens Healthineers, and LG with its Energy Solution and Electronics units. There are multiple factors that drive the value of RISE with SAP for our customers. With the migration to the cloud, responsibility for IT operation shifts over to SAP and the hyperscaler. The combination of cloud ERP and SAP's process expertise is key for business model transformation. Let's take LG Energy Solutions, for example. They chose SAP to help meet the growing demand for electric vehicle batteries. Process standardization and embedded AI increased the productivity of customers in manufacturing, supply chain, HR and finance. And by always being on the latest release, our customers also gain greater agility through continuous innovation. Finally, we are removing the data silos with RISE with SAP and build one strong data layer to allow to steer the business 360 with real-time data. RISE and GROW are also very exciting opportunities for SAP. The two offerings result in net new customers and an installed base maintenance conversion of more than 2x. At the heart of RISE and GROW, we have the Business Technology Platform. It is the B2B platform for customers, partners, hyperscalers, and of course, our own developers because it is the platform for the development of mission-critical business applications to extend our core. And this is why it represents such a massive business opportunity also in the years to come. More than 80% of our RISE and GROW customers use BTP to integrate and extend their cloud ERP portfolio with differentiating capabilities. And we are already seeing strong cross-sell potential with customers replacing legacy ERP with public cloud ERP components such as SAP success factors, Ariba and Concur. That trend continues to grow. S/4HANA Cloud customers are four times more likely to have four or more of our Cloud LoB products with the BTP as the equation extension layer for cloud ERP. And finally, we are able to deliver innovation to customers much faster, meaning we can focus our R&D spend on innovation and not on maintenance and localization. It's a win-win for our customers and SAP even under difficult macroeconomic conditions. Last week, we took RISE to the next level. We have launched a new premium plus package for RISE, including differentiating AI, sustainability and advanced finance capabilities such as cash flow optimization. It also simplifies how our customers consume AI with a new consumption-oriented license model. Furthermore, we have introduced a new conversion program for RISE with SAP. This program offers further commercial incentives to support our customers on their transformation journeys and accelerate their move to SAP's cloud ERP. Likewise, GROW with SAP had also a great start with strong adoption among startups and companies new to SAP. GROW with SAP is our cloud-native ERP suite offering for rapidly growing mid-market companies. After only three quarters, more than 440 customers in over 80 countries have selected GROW with SAP's cloud ERP to accelerate their business, innovate and grow around the world. Business transformation is much more than the pure technical migration of ERP legacy landscapes to the cloud. It's key to connect end-to-end processes and the entire data and system landscape to drive tool transformation. In 2021, we acquired Signavio, covering the process perspective, and in Q3, we announced our intent to acquire LeanIX to cover the overall enterprise architecture perspective, making sure processes, systems and data are yielding the wide outcome for every SAP customer. Together, LeanIX, Signavio and SAP Cloud Application Lifecycle Management create a unique business transformation suite. Earlier this year, we also introduced our business AI strategy to the market, bringing together our existing AI capabilities with the new potential of generative AI to transform how businesses run. We have already made a lot of progress over the last few months. We have consent from thousands of customers to use their anonymized data to develop and train our AI use cases and foundational data model. The launch of our digital co-pilot tool was a huge success and we are starting to roll it out across our portfolio this fall. And just last week, we announced our new RISE premium plus commercial offering, as I mentioned already. SAP business AI is reliable. We are making promising progress on building foundational models to enable generative and predictive capabilities from structured business data. SAP Datasphere combines structured SAP data with data from other sources to produce highly accurate results, which is so essential in the B2B world. And our new co-pilot tool will be able to work together with many LLM models to ensure we can offer this technology across the globe. And, as a result, SAP business AI is also more relevant. Our co-pilot speaks more than CRM. It can manage finance, HR, procurement, sales, marketing, industries and ESG data, providing answers and recommendations to even the most complex questions, and automating many activities currently performed manually by millions of SAP end users. Recent announcements by key partners such as Accenture and Deloitte further underscore the central role played by SAP. Let's be clear, this is just the beginning. Over time, business AI will have a revolutionary impact on the entire business landscape and SAP will be at the center of that. So stay tuned for more exciting announcement at CX LIVE and TechEd next month. In closing, let me quickly summarize. We have had a strong Q3 and I'm excited by the results. First, SAP continues to deliver on our commitments to the market, and we are now well into the second phase of our transformation. Second, SAP's unique position at the nexus between business and technology allows us to continue to translate innovations into business outcomes for our customers. Meaning thirdly, despite ongoing macroeconomic headwinds, our cloud momentum remains strong and growth continues to accelerate, all in all, putting us well on track to achieve our 2025 ambition. This is just the beginning of the next phase. We will further accelerate innovation, drive focus in our portfolio and realize greater efficiencies with our increasing scale. So with that, Dominik, over to you.
Dominik Asam: Thank you very much, Christian, and good evening ladies and gentlemen. In light of the current macroeconomic environment, we are pleased with the results of the third quarter across the globe. And now with the added capabilities of LeanIX in June, SAP is even better positioned to develop and deliver unparalleled value to our stakeholders. In Q3, we saw continued momentum of our cloud business with current cloud backlog growing by 25% for the third consecutive quarter. Cloud revenue in the third quarter grew by 23%, maintaining the growth rate we had achieved in Q3 of last year. The trend towards larger cloud transactions continued with deals greater than EUR5 million in volume contributing approximately half of our cloud order entry. Let me walk you through our financial performance. Current cloud backlog was EUR12.3 billion, growing by 25%, fueled by the success of RISE with SAP offerings. Our combined SaaS and the PaaS portfolio continued to grow by 26%, with the SaaS cloud revenue up 23% and PaaS cloud revenue even up 46%. This continued momentum was again fueled by the strong contribution of the Business Technology Platform, which underpins every single SAP application. Software licenses revenue saw a decrease of only 14%, demonstrating the resilience thanks to a few major transactions. Finally, total revenue was up 9%, driven by broad-based strength across all predictable revenue streams. Now, let's take a brief look at our regional performance. In the third quarter, SAP's cloud revenue performance was particularly strong in APJ and EMEA, and solid in the Americas region. Brazil, India and the Netherlands had outstanding cloud revenue growth while Canada, China, France, Germany, Japan and Switzerland performed particularly strong. Now, let's move down the income statement. Our cloud gross profit grew by 28%, driven by the effective leveraging of economies of scale and operational efficiencies as evidenced by reduced cost ratios across the board. Growth in cloud gross margin in turn improved for the third consecutive quarter, expanding roughly 2.9 percentage points to 73.7% year-over-year. In the third quarter, non-IFRS operating profit increased by 16%, supported by the resilience of our on-premise business as well as operational discipline which overcompensated the negative impact of an accelerated amortization of capitalized sales commissions. Finally, the operating margin landed at 29.4%, which is a 1.9 percentage point improvement compared to prior year. IFRS earnings per share in the quarter increased by 45% to EUR1.09. The IFRS effective tax rate for Q3 was 27.8%, and the non-IFRS tax rate was 27.1%. On to our cash generation. Free cash flow for Q3 increased to EUR865 million driven by SAP's profitability, improvements in working capital and lower payments for CapEx and leasing. For the first nine months, free cash flow was EUR3.4 billion, an increase by EUR761 million. Now, let's move on to our financial outlook. As you've likely seen by now, we are reiterating the outlook we had updated in July. For the detailed outlook, please refer to our quarterly statement published earlier today. Let's now discuss our non-financial targets. We can confirm our non-financial guidance for 2023, as we are well on track to meet our targets this year. In Q3, SAP once again had net carbon emissions of zero kilotons. We continue to focus on achieving net zero emissions across our value chain by 2030. In summary, Q3 proved to be another solid quarter as evidenced by strong revenue and current cloud backlog growth. The structural move to the cloud and the interest of our customers in future-proofing their businesses remain unabated. Despite the persisting macro headwinds, SAP continues to be mission-critical in helping our customers transform their businesses. LeanIX and Joule are prime examples of our ongoing efforts to innovate around all solutions, giving customers access to a full suite of tools to fundamentally change the way they run their businesses. In addition to the top-line, we continue to balance growth and profitability, allowing us to boost our bottom line. All of this gives us confidence in our ability to capitalize on the massive market opportunity presenting itself to SAP. Thank you. And we will now be happy to take your questions.
Anthony Coletta: All right. Then, I would like to kindly remind you to only ask one question when prompted please. So, operator, please open the line.
Operator: Ladies and gentlemen, at this time, we will begin with the question-and-answer session. [Operator Instructions] The first question comes from the line of Mark Moerdler with Sanford C. Bernstein. Go ahead, your line is open.
Mark Moerdler: Thank you very much for taking my questions. Congratulations on the strong quarter. In fact, I'd like to ask about that specifically. ERP has generally been thought of as core workloads that's not really impacted by macro. But I was seeing some other vendors in the market that there is persistent macro concerns of slowing, slowing to the pipeline, et cetera. Can you give us some color on, are you seeing anything in terms of slowing in the pipeline build, time to transition through the pipeline? Is there any difference between existing customers migrating versus new customers adoption? How should we think about that going forward? Thank you.
Christian Klein: Yeah, thanks. Thanks a lot, Mark, for the question. I mean, look, first of all, from the customer base perspective, I mean, we see strong momentum both in converting our installed base, as you heard, with a very healthy conversion factor to the cloud. But second, GROW with SAP has also had an exceptionally strong start and these are really representing new customers to the SAP family. And with regard to the pipeline, look, I highlighted LG Electronics, for example, and this is a very good example on many of the ERP deals we are doing. This company is also going through a massive transformation. And electric and batteries, they are producing this at mass scale. And this is a different business model to what they did in the past. And so they not only need a new ERP, they need a new way of how they run LG Electronics. And that's why they are deciding and approving this business case. And so this is essential to their business. And while of course the macroeconomic times are tough out there, we are extremely relevant to our customers' transformation. And on top, you heard the announcement around SAP Business AI and of course we have to deliver that in the cloud and that's of course another strong driver for our pipeline in the next quarter. But, Scott, over to you to give some more light on the quarter and the pipeline.
Scott Russell: Yeah, sure. Happy to. Happy to, Christian. So I think you said it well with the example of LG. If I broaden that out, what we're seeing in the market across all geographies is companies, small, medium and large, are focusing on their core. What's mission critical? How do they get efficiency and then set themselves up to be able to seize opportunities or protect against threats in their business. And so that's why the ERP in the cloud is so important. It's not just the move in the cloud, it's the transformation of their business using our ERP cloud and extended capabilities. And so that's why you see such resilience, because when things are uncertain or you need prudence, you make sure your core operating model of your company is fit and match fit for the future that you're driving. So LG, but I think about customers like Adobe, 3M, there's so many others that are going through this journey with us to be able to make sure that they can seize and future proof their business. The one other thing that I would highlight, and Christian mentioned this in the opening comments, is that when we see our customers, which we've had a lot of large customers come in with RISE with SAP, they're not just looking at the core ERP, they're then looking at the extended capabilities to be able to resolve, whether it be in commerce, or in HR, or in procurement, or in supply chains. So the extended capability through that integration that we've invested so heavily over the past few years, they're now able to seize upon that opportunity to be able to drive forward, which means the future is obviously, notwithstanding the macroeconomic conditions, we feel like we're well placed.
Mark Moerdler: Excellent. Thank you.
Anthony Coletta: Thank you. And we'll take the next question, please.
Operator: The next question is from the line of Toby Ogg with JPMorgan Cazenove Limited. Please go ahead.
Toby Ogg: Yes, hi, and thanks for the question. Perhaps just on the cloud revenue growth side, so the guidance implies continued acceleration into Q4. I know there's the Litmos divestiture, which is going to annualize, but I think you exited that in December, so probably not the full benefit there. Well, I guess just with that in mind, Dominik, what are the drivers of that implied cloud revenue growth acceleration into Q4, and how confident are you in achieving that, I guess, just given the more difficult macro, and also, I guess, the potential for transactional to be a headwind there as well? Thank you.
Dominik Asam: Yeah, maybe a little bit of granularity on some things you already mentioned, like the Litmos impact. I mean, for the full year, we think that Litmos will add a good percentage point of basically headwind. So when you look at the kind of cumulative year to date, it's already kind of pulled down by that. So the real underlying growth rate is already very close to the 24% or so we need to fulfill the lower end of the guides. Now on top of that, there is of course the discussion about the transactional business, where Q2 has already been difficult. We have been very slightly up, but marginally Q3 was actually flattish or even very slightly down. So we have not seen much relief on that front. And that's another thing that's of course something we will not see as such a strong headwind from our perspective for quarters to come, but might be more temporary in nature. But when exactly that will happen is of course a little bit dependent on the macroeconomic environment. Logically, when you are in a soft environment, the first thing you do is cutting travel expenses, cutting contingent workforce. So that business has been very difficult. There are other parts in it which are growing fast, but the kind of decline for instance in contingent workforce has resulted in a flattish environment. So that's the acceleration we need. I also want to remind you that even if you jump off the kind of low end of the range for the guidance for this year, which is EUR14 billion, toward our 2025 guidance, we need about 24%. So you see that we're really on the cloud revenue trajectory, de-polluted for Litmos, de-polluted for that kind of temporary headwind where we think that this will be more cyclical around that trend line, very much on track for that trajectory.
Christian Klein: And you also have to consider with regard to 2025, you have to consider that, especially the large transactions, they foresee a ramp. So when we are looking at the current cloud backlog of 12 -- or for now, over EUR12 billion ACV, obviously, there is a ramp included in the contracts, which are also going to help us now in the years. Now that RISE is out there for three years, the ramp will now going up. And with that, with the adoption, of course, we will also going to see further cloud revenue acceleration in the years to come.
Toby Ogg: That’s great. Thank you.
Anthony Coletta: Thank you, Toby. And we will take the next question, please.
Operator: Next question is from the line of Adam Wood with Morgan Stanley & Co. Please go ahead.
Adam Wood: Hey, Christian. Hi, Dominik. Thanks for taking the question and congratulations from me as well on the quarter. I wanted to go back to the AI topic. You've obviously announced the products there, given us some details. I think some of your competitors have come out and said, they feel that the AI copilots and so on really are just kind of table stakes in the battle and they don't feel there's room to extract a lot more value for customers. Could you talk a little bit about what's different in the SAP portfolio? Is it the data that you have access to, the complexity of the processes, the value of the roles that you can automate further that would make you different in terms of being able to extract value on this versus some of your peers? Thank you.
Christian Klein: I mean thanks a lot, Adam, for the question. And look, I can give you an example on why SAP is so relevant in the business AI space. With our traditional use cases, which we have over 100, we actually, of course, develop great individual use cases. So for example, in procurement, AI was helping to source out of thousands of suppliers, the best supplier based on cost, on quality, in the future also on ESG data. With generative AI, the opportunities and the elements will significantly increase. Joule will be able to answer questions like, please help me to reduce the carbon footprint in my supply chain by 10% while making sure that my profit is not getting under pressure. Give me the suppliers, give me the suppliers where I can still deliver on time, but on the same time, also reduce my carbon footprint and keep my third-party cost, the contingent cost actually at the same level. Because we can cross-correlate the data, we build this foundational data model in the neural network. And then with Datasphere, we can also enhance that with actually also unstructured data. Yesterday, I just also met Satya in Berlin. And he also -- I mean, Microsoft is extremely interested on how can we join forces to also further combine our data. And what is also very important in the B2B world, I already mentioned it. I mean, in the B2C end, you can ask ChatGPT for a question for speech and you get a proposal for a speech. In the B2B world, accuracy and data quality is of utmost important. So all the work we did on BTP over the last three years to integrate, but also to harmonize our data model is extremely now paying off in high-quality data and is the foundation for SAP Business AI. And last but not least, you can ask Joule a question, but not every employee and every company should see your group P&L. So you need an authorization concept. And so this is also very important that we have the authorization layer for almost every business data in the company. And all of that is a good example why SAP will be so relevant in that space.
Adam Wood: That’s very helpful. Thank you.
Anthony Coletta: Thank you. Thank you, Adam. We will take the next question please.
Operator: The next question is from the line of Mohammed Moawalla with Goldman Sachs International. Please go ahead.
Mohammed Moawalla: Great. Thank you. And well done on the quarter. I had one question for Dominik, please. Your implied operating profit growth guidance implies sort of at the low-end significant sort of decline. I'm just trying to understand around some of the cost dynamics, what we should think about in Q4, in particular. And I know you alluded to sort of some of the changes in the sales capitalization. But also, is there anything on the kind of OpEx base that we should be mindful of in Q4? Thank you.
Dominik Asam: Yeah, excellent question. I mean, it's clear from the numbers that remain to do in Q4 is kind of relatively manageable, it appears. And now what are the kind of elements which drive that. First of all, it's on the software side. We had a really a very mild decline in software in especially Q1 and Q3. I think Q2 was a little bit closer to normal. And actually, on average, we have been declining more slowly than, for instance, in the prior year. If you think about the prior year, we were down 39% constant currency. And now Q2, which was a more tipping quarter, mid-20s, I think, if I recall correctly. So we think that Q4 will be probably in that order of magnitude, somewhere between these two data points. It's not quite clear. I mean, it's notoriously difficult to predict that. And I think it's also clear that the Q4 is the biggest quarter on licenses, so it has a big disproportionate impact. And I think it's also -- there's some good news in this, which means that we can be commercially quite rigorous on the software side, and we really can aggressively push on the cloud side. Second point I want to highlight is that we have added a net of 1,200 FTEs. So of course, they will hit the P&L in Q4 and will be basically full quarter effective there. You mentioned that kind of accelerated amortization of commissions that was still based on the software business where we see now the kind of shift to the cloud happening. That was a EUR65 million ticket. By the way, we will see a similar order of magnitude in Q4. So that's another item I want to mention. And then I think it's very important to really look at the gross margin. It has evolved very strongly in Q3. But I want to say it's always a little dangerous to look at any single quarter. If you want to have a more stable estimate about how the gross margin is evolving, take the first nine months. And you see that we basically expanded gross margin year-on-year by about 2.5 -- or 2.4 percentage points. Now in the 2.4 percentage points, there is, I'd say, almost 1 percentage point of tailwind from the famous cloud conversion program. So we had costs incurred still in the prior year, which is now gradually out of the equation. So that gives us a boost. So they kind of still underlying continuous improvement without that one strike project, so the cloud convergence project is more about 1.5%, which, by the way, again, is putting us exactly on the trajectory for the 2025 cloud gross profit guidance. So if you think about that kind of boost being fully harvested, if you take these four elements I mentioned together, this is explaining why we have been more prudent on the Q4 and year-on-year growth. I think it's very much in line with what also Luca has guided already a year ago, also driven on the year-on-year comparison by the Litmos divestiture, which was not there or will not be there in Q4.
Mohammed Moawalla: That’s great. Thank you so much.
Anthony Coletta: Thank you, Mo. And we will now take the next question please.
Operator: The next question is from the line of Frederic Boulan with Bank of America. Please go ahead.
Frederic Boulan: Hi, good evening. If I can ask a question around the cloud margin, so a big follow-up on the previous one. So we saw some slight improvement in SaaS. The PaaS, actually in Infrastructure Service improved quite strongly. If you can discuss what's been driving that and some further benefits to expect from the optimization program. I think, Dominik, you seem to say that we've kind of done the work now so it's going to be smoother going forward. And if I may ask a follow-up around S/4. So could we get a bit of an update on where you are on the momentum in migration of those large complex customers? I mean, you mentioned some of those, but if you could share a bit of an update on where you are on S/4, S/4 cloud adoption and in particular, for those large contracts and large migrations, that would be great. Thank you.
Christian Klein: On PaaS and the cloud gross margin, let me take that first. And then, Scott, you can take the question around the ERP and the S/4 momentum on the conversion of our LE customers. I mean, on PaaS, I mean, BTP is an extremely scalable platform. It's a native cloud platform. And of course, we are continuously working and this is not only since we did the cloud conversion program. We actually also continuously work on TCO. For example, HANA Cloud, so a new cloud database, which gives us enormous scale-out capabilities, which is extremely important, not only for our TCO by the way, but also for our large customers who actually can enjoy this new database in the cloud. Second, we're also innovating with AWS on ARM. Yeah, so we also embed further new technology. We are constantly also updating the capabilities within the database. And you know that we still have a few ideas also for the year to come, and the platform is now the underlying platform for all of our business application. So it's the foundation. So it's really important for us to also have a scalable platform there. Scott, over to you for the ERP question.
Scott Russell: Yeah. So I guess the -- I mentioned it before, but let me give you a bit more color. Customers aren't just moving to ERP cloud, and I mentioned this, but it's really important to understand in terms of the future for us, but also for our customers. They're not just going to S/4HANA cloud. They're transforming their business. They're making it lean. They're getting a clean core. They're able to optimize the way they run their process. That allows them then to then build and expand and then use that capability, including Generative AI optimize. So these are on the large end customers, multiyear programs, multiyear initiatives, which we see from a financial point of view in our total cloud backlog and that and what you see in the ramp that Christian mentioned in his opening. But then even on our midsized customers, doing these big changes to their business is the foundation for them the innovation in the future. So I guess what you will see there with a large end, and Dominik also mentioned opening this call that we had a large proportion of customers of 5 million plus in booking, value in ACV contributing to the overall performance. That gives us the platform for customers to do a multiyear transformation of their business, leveraging our innovation, and they will weave in generate AI into that as we go forward because it's embedded, including our recent announcement of the premium offering that we launched a couple of days ago.
Christian Klein: And maybe one further example. I mean, take for example, Exxon. Exxon also decided to go with RISE for SAP. I mean, for Exxon, it's actually not differentiating to, one, the ERP landscape further on prem and invest into really commodity IT activities. What is way more differentiating is to say, let's move our system landscape into the hands of SAP and a hyper scaler and then build with our IT budget, more differentiating capabilities for commodity and trade for the new renewables business to also build a more resilient supply chain. And so the IT budget creates way more value if you can focus more on build and less on run. And the BTP is now their platform of choice to also extend the core because all of these capabilities, what I just mentioned, they need to be, of course, seamlessly integrated into the core. And here we go again, this is the BTP. The BTP is the integration and the extension layer. The same is true for BMW and for many others LE customers in the meantime as they have selected to go with RISE with SAP.
Frederic Boulan: Thank you.
Anthony Coletta: Thank you. And we’ll take the next question please.
Operator: The next question comes from the line of Kirk Materne with Evercore Partners. Please go ahead.
Kirk Materne: Hi, thanks very much. Congrats on the quarter. Thanks for taking the question. I was wondering -- maybe this one might be for Scott. But I was just kind of curious what you're seeing in the Americas market. Obviously, really strong orders and acceleration in Europe and Asia Pac on a constant currency basis. America was down slightly Q-over-Q. But I was just kind of curious, is that just market dynamics, macro? Is there anything sort of more competitive there going on? I was just kind of curious if you could add a little bit more color on what's going on in that particular region. Thanks.
Scott Russell: Yeah, no problem. I'll answer this and, Christian, if you would want to add anything, please do so. So look, as you saw in the performance, we had a very balanced performance across the world. There is no doubt that the Americas and North America is our largest cloud market and also where a lot of the innovation that we're seeing around the world. And it is definitely a market that has the macroeconomic pressure. But I wouldn't reflect it as unique against other economies around the world. We see the same macroeconomic pressure points. I think what we are seeing in North America, though, is the combination of GROW and RISE. Those two become really important. The mid-market in North America looking where the smaller companies that are wanting to expand, but they need to do so really fast. They're not going to invest heavily into the technology migration. They need to be able to do so in a rapid way. And so the GROW offering has been really successful in markets like North America. And at the upper end, we always recognize that even in the best of times, but right now, they're taking multiyear major investment journeys with us. So the way that the market is working there is -- the question is not if they move to RISE, it's how and when -- and that program. And that's where we see those large bookings. So look, it continues to be a market we're highly competitive and high expectations. But we remain strong in the foundation of what we deliver to around the world is equally is true in North America. Christian, if you want to add.
Christian Klein: Well said, Scott. I mean, maybe just one point more. I mean the transactional business of Concur, Fieldglass and Ariba is, of course, also the dominant share is in the United States as these companies also were founded and have most of their customer base there. So -- and as Dominik also outlined, to be seen, how business develops in Q4 but I was just last week in SAP Spend Connect. And when I remember it back in three years ago, these products were completely different products and different legacy stacks on different platforms. And when you see now our intelligence spend portfolio and you just look at Source to Pay, you wouldn't even see which product is it. It's all about the end-to-end business process. It's a beautiful UX. The team did a wonderful job. And of course, there is now some macroeconomic headwind to be seen how this will develop in Q4 on -- for next year and for the years to come, I feel much better from a product experience perspective than where we have been three years ago.
Kirk Materne: Thanks very much for the color. Helpful.
Anthony Coletta: Thanks, Kirk. And we’ll take the next question, please.
Operator: The next question comes from the line of James Goodman with Barclays Capital. Please go ahead.
James Goodman: Thanks for taking mine. I wanted to ask you just on the implied guidance also a bit around the revenues ex cloud. I think like EBIT, it looks pretty conservative throughout the range. I mean, even taking into account the comments that you've made around the anticipated Q4 license trajectory. So maintenance has been down, I think, 1% only three quarters in a row. Why should we see that certainly sort of decelerating in Q4? And maybe you can extend the answer to some commentary around maintenance for next year. I think we've now seen that you can raise prices up to 5% next year. So should that offer sufficient support to maintenance to keep a sort of similar trajectory? Thank you.
Dominik Asam: Yes. I think the key point is not really the maintenance, but as you say, the licenses where there's more volatility. And yeah, we have been prudent on that front. Q4 is, by far, the biggest quarter in that context. I think it's not wise to extrapolate Q1, Q3 into Q4. I think it also gives us an opportunity to send a clear signal that there is commercial discipline on these license deals because our strategic trajectory is towards the cloud. And this is why I think this assumption makes sense. Now again, it's notoriously difficult to predict. So there can be a wide range of outcomes around that kind of range I have alluded to. And this is why we kept the range quite open on that front.
Christian Klein: Yeah. And on cloud revenue, I mean, I also remember, I mean we have put out there a 2025 guidance three years ago, and we weren’t aware around what exactly will happen during COVID. We, of course, have not foreseen the exit of Russia. Now we are talking about a high inflation environment and some macroeconomic challenges and still we keep our 2025 guidance. And so I'm actually very happy with the underlying strength of our portfolio. But again, also to be seen how Q4 will now develop from a transactional revenue standpoint. But I find it remarkable the underlying strength of the portfolio despite all of these headwinds, what we have seen over the last years, I have to say. I mean, Russia, there will not be a comeback and still we are maintaining our guidance for 2025.
James Goodman: Thank you.
Anthony Coletta: Thank you, James. Next question please. The next question is from the line of Michael J. Briest with UBS Limited. Please go ahead.
Michael J. Briest: Yes. Good evening. And my congratulations as well for the momentum. Maybe a little teaser on next year. I mean, your revenue outlook is driven by the cloud, it's pretty predictable and hopefully and fairly linear. The maintenance, you've given clear sort of indication on 2025. Is there any reason we shouldn't think that profit and cash flow grow in a fairly linear progression between here and 2025? Is there any factors we should be thinking about that mean that that's unlikely to be the case? And then around stock-based compensation, I noticed that the charge increased a little bit at the low end. And I know you're thinking internally about how you treat that going forward. Is there any more light you can shed on whether that's still a charge that should be treated as an exceptional item in your view? Or maybe it's now a more predictable number and something you can bring into the adjusted margin? Thank you.
Dominik Asam: Well, maybe I will have a stab at the 2024, first, as a reminder, we guide 2024 and January of 2024. So we have an ambition for '25. And if you think about what are the priorities in the current planning process, which will then, of course, drive the budget for 2024, I'd say it's, of course, derisking 2025 to make sure that it's really solid and deliver to that ambition. And secondly, I think we will also start to put more focus on the question, how can we kind of boost earnings growth beyond 2025. It's all nice to think about 2025, but the future is actually in the second half of the decade. And please bear with us until that kind of date in January when we have matured that planning process to really give you then a solid guidance for the year. I don't want to kind of preempt that at this point of the year.
Christian Klein: Yes. And then to add to Dominik point, I mean, Q4 is also in the cloud, our biggest quarter from an order entry perspective, and that really can also create really still some swing on the cloud revenue one way for next year. And so yeah, more news to come in January.
Dominik Asam: So now on the second point, I have noted charge. So that was -- sorry, can you just help me out on that...
Michael J. Briest: The charge, I think…
Dominik Asam: Is stock based.
Michael J. Briest: Increased a little bit at the low end.
Dominik Asam: Yeah, yeah. So the stock-based compensation, I mean, yes, given that we have a higher share of equity settled stock-based compensation, the volatility induced by the share price movements in that expense will go down. That's the one thing I can say. The other thing we clearly said is that we really want to kind of keep that number steady to dilute it somewhat as a percent of revenues over the coming years. And there is no change to that guidance that we really try to make it more stable. And then as a consequence, indeed, it would be easier to absorb it kind of in the non-IFRS operating results. We are clearly seeing the stock-based compensation not as funny money, but a real expense. It's real value transferred from shareholders to employees, basically. And that's why anything to embark it in all our steering is really a priority of the company. But again, in terms of 2024, we will let you know how we deal with this in more detail in January.
Michael J. Briest: Okay. Thank you.
Anthony Coletta: Thank you, Michael. Next question, please.
Operator: The next question is from the line of Chandramouli Sriraman with Stifel Nicolaus Europe Ltd. Please go ahead.
Chandramouli Sriraman: Yeah, thanks for taking my question and congrats from my side as well. Just one on the amortization period change. I'm just wondering from a business sense, what it means for the end of support of R3 and how does this fit in with the license strength that you have seen in '23? Thanks.
Dominik Asam: [So I'll have to say that] (ph) again. Okay. So it's an accounting policy, which is applied steadily, and it's driven actually by forward-looking assumptions as to the kind of lifetime of the support revenues. Now you should understand it's not a very linear calculation. So there are some factors that can make it somewhat volatile. And when we did the kind of, I'd say, first sneak preview of our planning here, we felt it's not prudent to keep the long nine-year period. By the way, there are some assumptions about renewals in there embarked. So I wouldn't read too much into it, except for that we felt that at this point in time on that commission, given that we want to clearly push from on-prem into the cloud, and that we see the bigger uptake in RISE, there is probably a shorter amortization period required, and this is what we've reflected. I also want to highlight, if you may ask that this will not have a material impact on 2025 because by then, we will also benefit of having kind of taken less capitalization and it kind of then should be breakeven, so to speak. So worries on that front, I think, for 2025. It does weigh, as I mentioned already, on Q3 and will weigh also on Q4.
Christian Klein: And with regard to the software momentum. Look, the end of maintenance is coming for us, for our ECC customers. And also for the older releases of S/4HANA on prem. Nevertheless, there is a maintenance commitment out there until 2040 for our mainstream S/4HANA customers and this will stay, but we will definitely not move further the end of maintenance for the other releases as we have to, of course, also focus on the innovation in the cloud and deliver this to our customers in a natural way. And when you look at the softer number, of course, it can fluctuate quarter-by-quarter. It's one-time license revenue but you can also see the deals we are doing, probably majority comes out of the regulated industries where customers are also still growing and they need more licenses, and this is the type of business which we are still closing. Scott, did I say it right?
Scott Russell: Yeah, you did, Christian. And it's actually a really important point. You're not seeing a decline on the cloud and our RISE performance despite the software, and that is a good sign. That's partly because of the segments that are -- and you mentioned that on the regulated industries. And also companies that are topping up their existing license where they're growing or expanding. So the outlook doesn't have a bearing or a weighting on the cloud side other than to Dominik's point that we continue to drive and build the future on a cloud as a part of our strategic priority and our customers will continue to do that at scale whilst managing their software estate in the short term.
Anthony Coletta: All right. Thank you. We will take the next question please.
Operator: The next question is from the line of Johannes Schaller with Deutsche Bank. Please go ahead.
Johannes Schaller: Yeah. Thanks. Good evening. Thanks for taking my question. Christian, thank you for providing a bit of detail on the AI side from a technical and functionality perspective. I wanted to ask a bit on pricing. I mean, you said on the last call, you talked about a 30% pricing uplift potentially with AI features or maybe, call it, a 30% higher revenue opportunity. Now three months later, can you talk a little bit about this feedback you're getting on this pricing strategy from your customers? And also, just in terms of how we should think about these AI revenues coming in, I take that the R&D is pretty much in the run rate. But what we see in the field with some other AI offerings, maybe an initial phase of some customization, some training with proprietary data of your customers, some costs that are coming in initially. How should we envisage the initial AI revenues? Will it be fairly profitable right away? Or will there also be maybe some additional costs upfront? Thank you.
Christian Klein: Yeah. Let me take it step by step. I mean on the product engineering side, we are not doing only now earnings late night, we're also doing some engineering sessions late night. And I just looked last week at the overall architecture and the way how we actually -- why we are so confident also with regard to the consumption and the cost of running the architecture of business AI is we are building the foundational data model. So for us, it's key that we really infuse now all of our data in this neural network and that we have a knowledge graph, which then can find the wide data depending on the kind of analytical question or task activity what the end user has. On the LLM side, so the large language model, we actually partner. We partner with a lot of players to also offer Joule around the globe. And then with regard to the cost, of course, these modules are extremely hardware intensive. But what we are going to do is we use our existing macro commitments with hyperscalers so we consume it out of that. And given now with RISE, we are the biggest operations partner for our customers, also the [LE] (ph) customers. So we are running billions of workloads. So of course, that also benefits us so that we now don't need to invest in a ton of hardware, but really also can use our existing commitments. On the commercial model, look, we launched now in the meantime, the RISE premium offering. And yes, the premium offering, premium price, but of course, customer first. So we really looked at the value, so you find sustainability capabilities in there. Advanced finance capabilities, cash flow optimization. We asked first customers who actually can improve the cash flow by 2% or 3% by better payment terms, et cetera, et cetera. And on top, we have AI. So it's a real premium package with real value, and we see actually positive customer feedback for those ones who actually are our first customers. And then second, let's not forget, we're also offering AI embedded in our products with a consumption-based pricing. So you don't have to go for the premium package all at once, but you can also consume AI business, AI as part of our solution in a pure consumption-based pricing model. So we give customers choice, which I feel is the right way to go.
Johannes Schaller: Thank you.
Anthony Coletta: Thanks, Johannes. And we will take one final question now. Thank you.
Operator: The final question comes from the line of Castillo Bernaus, Ben, with BNP Paribas. Please go ahead.
Ben Castillo Bernaus: Good evening. Thanks very much for squeezing me in here. And just one question on the free cash flow, I guess, in the full year guidance. It looks like you're running comfortably on track there. It's up close to 30% year-to-date. It would imply that Q4 free cash flow would be down year-over-year. I know we've talked about a couple of one-offs, but, Dominik, if there's anything specific you could call out there just to justify that. And I know related to that, the topic of perhaps unwinding some of the extra factoring that was done last year had come up in conversations previously. Is that still on the agenda currently? Thanks very much.
Dominik Asam: Yeah. I mean cash flow is, of course, because of the sometimes volatility in some payments from customers, KPI, which is really difficult to predict at the year-end. But you mentioned some of the components already. What certainly is on the agenda to make sure that come 2025, there is a clean underlying free cash flow. We always said the EUR7.5 billion at that point in time should be clean. We are tracking well. And there are, however, some phasing topics, so we have not updated the guidance for good reasons. And now how exactly that will pan out after we have seen all the receipts of payments at the end, we will tell you, of course, in the end, but I'm not expecting any wild surprises on that front. So we are on a very good trajectory, as you have said yourself, on the free cash flow side.
Ben Castillo Bernaus: Got it. Thank you.
Dominik Asam: Thank you, Ben. And with that, we will conclude the call. So thank you. This concludes our call for today. Thanks for joining.
Christian Klein: Thanks a lot. Have a nice evening. Bye-bye.